Operator: Good afternoon and welcome to the Western Union Fourth Quarter 2014 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation there is an opportunity to ask question. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mike Salop, Senior Vice President of Investor Relations. Please go ahead.
Mike Salop: Thank you and good afternoon everyone. On today's call Hikmet Ersek, Western Union's President and Chief Executive Officer, and Raj Agrawal, Executive Vice President and Chief Financial Officer, will discuss the Company's 2014 fourth quarter and full year results and outlook for 2015, and then we will take your questions. The slides that accompany this call and webcast can be found at westernunion.com under the Investor Relations tab and will remain available after the call. Additional operational statistics have been provided in supplemental tables with our press release. Today's call is being recorded and our comments include forward-looking statements. Please refer to the cautionary language in the earnings release and in Western Union's filings with the Securities and Exchange Commission including the 2013 Form 10-K for additional information concerning factors that could cause actual results to differ materially from the forward-looking statements. During the call, we will discuss some items that do not conform to Generally Accepted Accounting Principles. We have reconciled those items to the most comparable GAAP measures on our website, westernunion.com, under the Investor Relations section. All statements made by Western Union officers on this call are the property of The Western Union Company and subject to copyright protection. Other than the replay noted in our press release, Western Union has not authorized and disclaims responsibility for any recording, replay or distribution of any transcription of this call. I would now like to turn the call over to Hikmet Ersek.
Hikmet Ersek: Thank you, Mike and good afternoon everyone. Overall I am pleased with our 2014 results especially with profitability earnings and earnings per share which exceed our expectations. In consumer money transfer revenues increased 3% in constant currency term as the actions we implemented in late 2012 and early 2013 helped return this business to positive revenue growth. Online again led the way with westernunion.com consumer money transfer revenues increasing 28% for the year. Western Union Business Solutions revenue increased 4% in constant currency in 2014. The business experienced good improvement in the fourth quarter after being negatively impacted in the middle of the year by a lack of foreign exchange volatility and the consumer bill payment business produced strong constant currency growth with U.S. electronic bill pay again posting solid results. While we continue to make investments in our compliance capabilities across the businesses, we were able to deliver operating profit, operating margin improvement in 2014. Efficiency initiative helped us increase the profit margin and earnings per share for the year increased 11% to $1.59. Our business also continued to generate great cash flow with approximately a $1 billion from operating activities in 2014 and we remain committed to return significant free cash flow to shareholders. Over the course of the year, we returned over $750 million through this combination of dividends and share repurchases. We are very pleased to announce enhancements to our capital return program these include a 24% increase in our quarterly dividend which raises it’s from $0.50 to $0.62 on an annualized basis and a three year $1.2 billion share repurchase authorization. Our intent is to periodically raise the dividend while continuing to have a balanced return comprised of both meaningful dividend and buyback. As we begin 2015, we are continued to execute to strengthen consumer money transfer with an emphasis on online and mobile and extent reach on penetration in businesses solutions while retaining our focus on generating and deploying strong cash flow. We believe our cross-border money transfer business is well positioned and we do not anticipate a need for a significant cross-border pricing action in 2015. However we are facing some global economic headwind, including the impact of a stronger U.S dollar and slowing economic in key send markets such as Europe and Russia and some competitive pressure in our U.S retail domestic money transfer business. Overall we expect to grow revenues on a constant currency basis in 2015 but reported growth is anticipated to be negatively impacted by currency translation which we estimate will affect revenues by approximately $300 million compared to 2014 rates. In spite this we anticipate our cost saving initiative and foreign exchange hedges will help mitigate the impact on profitability. We expect 2015 operating margin to increase to approximately 21% and earnings per share to be in a range of approximately $1.58 to $1.65. Strategies will be remaining focus on being a leader in cross-border, cross currency money transfer for consumer and businesses. We want to build on our cost border money transferring gene which includes our pay in and pay out network, our foreign exchange and settlement systems and our data management and compliance capabilities. To serve new used cases and bring in more customers with expanded connection point. We want to allow customers to transact almost anywhere anytime to the channel they prefer. For West Union that means more mobile and account connection, more online options and more ATM and self-service Kiosk. In addition to further enhancement to our retail network West Union business solutions remains a very important part of our strategies providing account based service to diverse type of customers. We continue to believe we can drive strong growth in B to B as we shift our portfolio to more integrated customer solution and we expect profitability in this business to accelerate as revenue increases. We are proud that West Union plays an important role in providing financial services to under serve customers and businesses aiding economic growth in many parts of the road and allowing families to improve their life and small businesses to grow. In 2014 we delivered on our earnings call and I will like to thank my management team and all of our employees and agents around the world to their dedication and hard work. In 2015 we continue to focus on execution and although we are facing some revenue challenges from currencies we expect to generate good profitability and cash flow. Now to give you a more detailed review of the financial results for the fourth quarter and our 2015 outlook, I will turn the call over to Raj.
Raj Agrawal: Thank you Hikmet. As I review 2014 financial results I will focused primarily on the fourth quarter. Similar information for the full year can be found in press release and the attached financial schedules. Fourth quarter consolidated revenue of $1.4 billion was down 1% compared to the prior year period while on a constant currency basis revenue increased 4%. Depreciation in the Argentine peso to Euro and other currencies around the world drove the differential between reported and constant currency revenue. In the consumer segment revenue decrease 2% on a reported basis or increase 2% on a constant currency basis. Transactions also increased 2% in the quarter. Western Union C2C cross border principle decline 1% but increased 2% constant currency. Principle per transaction was down 4% compared to the prior year period and was flat in constant currency terms. The spread between the C2C transaction growth and revenue decline in the quarter was four percentage points including a negative 4% impact in currency. There is minimal impact from pricing and mix in the fourth quarter for the full year the spread between C2C transaction and revenue growth was also 4 percentage point comprise of a negative 2% impact in currency and 1% each from pricing and mix. Turning to the region in the Europe and CIS region revenue decline 5% compared to the fourth quarter a year ago. Including a negative 6% impact from currency. Germany continued to deliver good growth but this was partially offset by weakness in other parts of Europe compared to the third quarter growth in Russia also slowed as the economy began to soften. Transactions in the Europe and CIS regions increased 6% North America revenue was flat in the quarter including a negative 1% impact from currency. Transactions increased 2% U.S outbound delivered big growth again in the quarter and Mexico revenue increase to 11% on transaction growth of 9%. Our growth in Mexico was higher than the reported market growth from New Mexico from both the fourth quarter and the full year. Domestic money transfer revenue decline 4% while transactions grew 1% with a revenue decline being driven by reductions in the higher principle band. In the fourth quarter we began to see an impact on U.S retail domestic money transfer for recent competitive price changes and we have factor these trends into our 2015 outlook. We are implementing some price reduction in the higher principle band and parts of the country where we are seeing the most competitive impact and we will monitor these results. Strategically we are also focused on further marketing and expanding our online domestic business which is still growing nicely. Our network and brand give us a strong position with online and mobile transfer cash pick up which is generally a different used case than the many account to account offerings in the domestic market. As a reminder domestic money transfer represents about 8% of our total revenues and this includes the westernunion.com domestic business. In the Middle East and Africa region revenue decline 3% with a negative 3% impact from currency while transactions decreased 3%. Good revenue growth from Saudi Arabia and the United Arab Emirates was offset by softness in Africa especially Libya where business remains limited due to the unstable geopolitical conditions. In Asia Pacific revenue was down 3% including a negative 4% impact from currency while transactions decline 4%. Revenue continued to benefit from strong growth in Japan which was partially offset by slowing in the Philippines. Revenue in the Latin America and Caribbean region was down 3% from the prior year period including a negative 7% impact from currency while transactions increased 2%. Revenue was impacted by continued government posed restrictions on market in Venezuela and by the decline in the value of Argentine peso compared to the prior year quarter. Westernunion.com C2C revenue grew 19% in the quarter including a negative 4% impact from currency while transactions increased 27%. U.S. originated online transactions grew 29%. Electronic channels revenue increased 17% in the quarter and represented 6% of total company revenue. In the consumer-to-business segment revenue grew 4% in the quarter or increased 15% on a constant currency basis. The differential between the reported and constant currency rates continued to be primarily driven by the devaluation of the Argentina peso compared to the prior year period. Consistent with prior quarters in the U.S. strong growth from electronic bill payments was partially offset by declines from cash walk-in while the South America business increasing on a constant currency basis. Business solutions reported revenue increased to 1% or 5% constant currency with good growth in hedging products and from our education and financial institution services. Turning to consolidated margins the operating profit margin was 19.6% in the fourth quarter compared to 16.8% in the prior year period. Operating margin improvement was primarily driven by cost savings initiatives and lower integration expenses. Overall in 2014 we achieved $47 million in incremental savings from our cost initiatives including $15 million of savings in the fourth quarter. We incurred approximately $30 million of expenses in the quarter to derive future efficiencies. These expenses relate primarily to severance cost and compared to approximately $33 million of similar cost incurred in the fourth quarter of 2013. We expect the new initiatives to generate approximately $15 million to $20 million of savings in 2015. Compliance expense was approximately 3.6% of revenue in the fourth quarter and approximately 3.3% of revenue for the full year. The EBITDA margin was 24.5% in the quarter compared to 21.3% in the prior year period. Our fourth quarter tax rate of 6.1% benefited some non-recurring items and our full year effective tax rate was 12%. Reported earnings per share of $0.42 increased 35% from $0.31 in the prior year period driven by cost savings initiatives, the lower effective tax rate and fewer shares outstanding. The C2C segment operating margin was 23.1% compared to 20.5% in the prior year period with the improvement primarily driven by cost savings initiatives. The consumer-to-business operating margin was 14.2% in the fourth quarter compared to 15.6% in the prior year period. The C2B margin declined primarily due to higher interchange expense driven by the increased credit card usage and higher principal per transaction the U.S. electronic bill payments. Business solutions reported an operating loss of $5 million per quarter which compared with a loss of $11 million for the same period last year. Depreciation and amortization was approximately $13 million and both the 2014 fourth quarter and the prior year period. The reduction in operating loss for business in the quarter was primarily due to lower integration costs. Turning to our cash flow and balance sheet, cash flow from operating activities was approximately $1 billion for the full year. Capital expenditures were $50 million in the fourth quarter, for the full year capital spending was approximately 3% of revenue as agent signing bounces decline from prior year levels. At the end of the year the company had debt of $3.7 billion and cash of $1.8 billion approximately half of the cash was held by United States entities. During the fourth quarter we repurchased approximately 3 million shares for total of $43 million. We also paid $65 million in dividends in the quarter. At year-end we have 521 million shares outstanding and $12 million remained under our previous $500 million authorization. For the full year we returned $753 million to shareholders through repurchases and dividends. As Hikmet mentioned we also announced today a 24% increase to our quarterly dividend and a new repurchase authorization of $1.2 billion which expires in December of 2017. Turning to our outlook for 2015, our expectations reflect continued progress and key strategies as well as anticipated impacts from the stronger U.S. dollar and the softening of European and certain other economies. We expected growth from U.S. outbound but we have also factored in decline in our U.S. retail domestic money transfer business as we deal with the competitive pricing pressure in the market. While we plan to implement some price reductions in U.S. domestic money transfer, we do not expect significant price changes in our cross-border business which represents approximately 90% of the total C2C revenues. As a result of these factors, we expect full year revenue growth to be in the low single digit on a constant currency basis, GAAP revenues expected to be decreased in the low to mid-single digits reflecting the expected negative currency impact from the depreciation of the euro and other major currencies. Our outlook assumes euro and other major developed markets currency remain around current rate throughout 2015. As Hikmet mentioned, we are estimating changes and exchange rates relative to 2014, will negatively impact 2015 revenue by approximately $300 million. This amount is net of the expected benefit from foreign exchange hedges implemented to partially offset major currency movements. Based on current rates we anticipate the hedge benefit to be approximately $70 million. Operating margins are expected to benefit from cost saving initiatives and the foreign exchange hedges. The hedge impact on our margin percentages move inversely with foreign currency movements when the euro weakens, it negatively impacts our revenue translation but the impact on profitably is less due to the hedges. Consequently as we go to 2015, our margin percentage could be influenced by further significant exchange rate movements but the likely the impact on profitability is minimal. Since compliance expenses came in lower than expected at 3.3% of revenues in 2014, there is a year-over-year increase plan for 2015 but this year’s spending projections still within our original 3.5% to 4% expectations laid out last year. The increase in 2015 is primarily due to additional hiring and the full year expense related to headcount added throughout 2014. We expect our operating profit margins in 2015 to be approximately 21% which compares to 20.3% in 2014, and we expect a tax rate of approximately 13% which is an increase from last year’s 12% rate. As a result, we currently expect earnings per share to be in the range of $1.58 to $1.65. The outlook for cash from operating activity is approximately $1 billion for the year. This outlook excludes $100 million of anticipated final tax payments relating to the agreement announced with the IRS in December of 2011. Some or all of these tax payments may be paid in 2015 but timing is difficult to predict as it is affected by completion of other ongoing to federal tax matters. So overall we’re pleased with the 2014 results especially in regards to profitability and we remain focused on strong capital allocation for our shareholders. Although we faced some revenue headwinds as we added 2014 we have taken steps to benefit profitability and we continue to execute our strategies and investment for the future. Operator we are now ready to open lines for questions.
Operator: [Operator Instructions] And our first question will come from Bryan Keane of Deutsche Bank.
Bryan Keane: Just a couple of questions, if I heard you correctly I think you said the cash of 1.8 billion approximately maybe half of that was held in the United States, if I remember correctly you said it was only about third of so held in the United States, so did you guys figure out a way to bring back some back to the U.S.?
Raj Agrawal: Hi, Bryan, this is Raj. No, it’s just really timing more than anything, typically we have a large portion of cash that’s in bank account, and it’s in transit. So it’s really money that not accessible to us. We have another portion that’s held for regulatory purposes and then we have some cash that maybe excess in nature, some of it is going to be held by our international operations and some of it will be with domestic, but the fact that there is more domestically is really just timing in nature and it’s not necessarily related to anything else.
Bryan Keane: Okay and then just understand the hedging techniques, the 70 million, will that -- that show up that’s in the operating line and just to clarify that? And then secondly what would the operating margins be doing if we didn’t have the hedges? Would they be above flat or just give us some color there? Thanks.
Raj Agrawal: Sure Bryan. The $70 million benefit that we have will be helping both the revenue lines so the revenues will not be -- will be better by $70 million versus what they would have been and then that also helps our profit lines by the same amounts. So that gives us a point of benefit on the operating profit margin lines and had the hedges not been in place the margins would have been about the same level of last years, so about 20%. We have cost savings initiatives that are helping us this year and that would help to offset any translation impact as well as some of the other increase investments that we’re making. So margins would have been above the same as last year ex the hedges.
Bryan Keane: Okay great, that’s what I thought. Just last question for me any color on the three segments on what to think about for constant currency as we look to set our models for next year -- for this year actually?
Raj Agrawal: We don’t give our specific outlook for each segment. But business positions were still very optimistic about the business we believe that business can grow in the low double digit range in the next few years. Last year in the second half of the year we saw the business accelerated from the low level of growth in the second quarter and it's on the right track as we continue to expand in some of the integrated payments here because our payments part of that business beyond the basic [FX] services has been growing really well in university segment and the SI segment as well as NGOs. And in terms of the payments business we are continuing to get good growth there. The trends really haven’t changed in that business. So did electronic growth that’s been offset by declines in our cash lock and business here in the U.S and then in South America on a constant currency basis it's doing just fine but we have the Argentine peso issue there. And I think I gave a fair amount of our color on the C2C business.
Hikmet Ersek: Maybe you mentioned digital is going good.
Raj Agrawal: Yes of course the digital business we're very excited about that’s got some great growth opportunities to it. We’re expanding our channel capability their on an ongoing basis. We already deliver money in cash anywhere in the world but we're also expanding our bank funding and pay out capabilities which will be the growth drivers for this area of the business on a long term basis.
Operator: And our next question will come from Tien-tsin Huang of JP Morgan.
Tien-tsin Huang: Good working on the margins. Just wanted to ask on the compliance spend such better than we saw you're exiting I think 3.6%, Raj? So is there a clear line of sight for more spending going into 2015 I guess is a question on visibility there? Thanks.
Raj Agrawal: We expect the spending and compliance to be about 3.5% to 4% in 2015 and that’s largely related to the cost of all the people that we hired in 2014. So we're going just see the fuller impact of that this year.
Hikmet Ersek: And also the international expansions of compliance program know your customer and know your agent expansion. But these are low effect of being 3.5% to 4% attention.
Tien-tsin Huang: My second question my follow up is just on the domestic money transfer. So sounds like you're just selective price actions in certain markets in response to MoneyGram and in Walmart. What it takes to revise your pricing more broadly. What are you looking for to go towards more of a uniform price change versus selective price changes? Thanks.
Hikmet Ersek: Well it's basically our business that impact in the higher principle amount right, I mean we see good growth in the lower principle amount continue especially to online and mobile part is going very good on the domestic money transfer business. On the higher principle amount we did see some impact on our business. So we do look at where are the impacts happening in which areas with a higher principle amount and we will adopt our prices there. The bit of our business although we have 500,000 locations we exactly know where the consumers behavior is in which location, how to behave and we do implement specific pricing actions. Now we will look at it how the market react, but overall I don’t anticipate in 2015 big price changes I think this invest we will do on domestic money transfer. But overall I would say that we will -- I don’t anticipate big pricing investments.
Operator: Next we have a question from Darrin Peller of Barclays.
Darrin Peller: I just wanted to follow up quickly on the margin side. I mean to be clear you're saying there is a $70 million from hedging is actually what gave you a benefit of about percent on the margin. So there would have been about 20% I think you said before. I guess when we look into that a little bit I guess that compares to about 20.2 or just over 20% in '14 like you said. With revenue on a constant currency basis growing I guess you're saying your backing out the currency hedging. What exactly is the pressure is from? Is it just the increase in regulatory cost on a year over year basis by small market or is it something on the mix front that’s not -- that’s for many for having a little more margin expansion?
Raj Agrawal: Yes during it is Raj. Margins we see it being at approximately same levels so 20% last year and 20% this year. We have cost saving initiative that are helping us going into this year. But when you take the hedges out you do have the negative impact on the overall profit line from removal of the hedges. So that’s hurting us and so the cost savings initiatives are helping to offset some of the translation impact and then we also are investing slightly more in compliances as you heard and then we just have higher inflationary cost in the business and in our fixed cost structure that are just a part of doing business. So those are some of the components that get us to about the same margins this year.
Hikmet Ersek: I want to add a little bit that currency outside of the hedges currency is negatively impacting -- if we do have fixed cost in the U.S.
Darrin Peller: Just quick follow up on the forward looking. When you think about the mix in terms of transaction growth versus revenue growth again this quarter I think you said a couple of -- early outlook had a couple points of spread differential. Can you again just explain the moving parts? You said you had a better point I think from pricing, a point or a couple of points from mix or -- can you just describe a little more detail what the mix was and how we should think about that going forward?
Raj Agrawal: Sure. In the fourth quarter we had 2% transaction built there was no impacts from pricing and no impacts from mix and there was a four parentage point impact from currency which got us to the negative 2% reported growth in C2C and those are the three components that you go forward, again the pricing environment is little bit more stable, DMT may do some more but otherwise it’s going to be historical norms, low single-digits. From the mix impact, we haven’t seen the mix impact over the last couple of quarters as we’ve anniversaries of some of the bigger mix changes and then currency is the wild card, it’s hard to predict where currency will and that’s really the last component.
Darrin Peller: Okay. So putting currency aside is it fair to assume maybe just one or two point of spread between transaction growth and actual revenue growth for this year and maybe even longer term?
Raj Agrawal: I’m not going to give a prediction on exactly where that’s going to be, but again the pricing is relatively stable, I see us doing some pricing around the world and little bit in DMT so you’ll have to make your assumptions around that.
Darrin Peller: Okay, all right. I appreciated guys. Thanks.
Operator: Our next question will come from Smitti Srethapramote of Morgan Stanley.
Smitti Srethapramote : Thank you. The effective tax rate of 13% in 2015 is bit lower than what the -- I think your original guidance of 15% for 2014 was before the one-time items that you guys experienced in Q4, can you talk about the drivers that allow you guys to lower the rate in 2015 below what was below the 2014 numbers?
Raj Agrawal: We’ve always thought Smitti, that we can be in the mid-teens area for the tax rate and that’s really within our overall range that we look at, it’s really just the function of all the different entities that we’re operating around the world. We have the global business we operate in very low tax jurisdictions and so that allows us to keep our tax rate relatively low. So it’s nothing more than that, it’s just ongoing tax planning that we have.
Smitti Srethapramote : Got it. And you mentioned that you guys have that couple of causing initiatives that’s going to help support margins in 2015; can you talk about some of the new areas of cost saves that you guys are targeting for 2015 that wasn’t implemented in 2014?
Raj Agrawal: We took $30 million of additional cost in the fourth quarter of last year and that’s going to translate into about $15 million to $20 million of incremental savings. In addition, we achieved $47 million of savings last year, but on the run rate basis that’s going to about 60 this year, so it’s an incremental $10 million to $15 million and that’s really related to just eliminating roles throughout the organization and pushing rolls into lower cost jurisdictions around the world, so just shifting our organization to be aligned with our overall business.
Smitti Srethapramote : Got it. And just lastly the mid-teens tax rate do you think that is sustainable for the next couple of years?
Raj Agrawal: Yes, approximately mid-teens that’s about where we target and we think that’s achievable for the next few years.
Operator:
.:
Sara Gubins : Thanks. Could you talk about any impact you might be seeing around the world from lower oil prices, are you starting to see that impact from for [indiscernible]?
Hikmet Ersek: Let me take that Sara. We do see a different dynamics in different parts of the world that the beauty of our business being in 200 countries I mean our U.S. out bound, you heard from Raj, U.S. outbound business is doing pretty well, the strong dollar helps size also the U.S. economy helps size. On the other side Russia it had kept some impact in our business, we saw some slowness in Russia to central Asia especially in these countries in Ukraine and so. But that all depended on the foreign exchange and oil price the economic environment. We do see -- we don’t see in the Middle East that big impact I think the project that would in place there still continuing happening the people our customers here still sending money to their loved ones, especially to South Asia and we don’t see the big impact. But long-term I don’t what the oil price will happen. But it’s too short I mean it’s only three months that volatility and the oil price happened. The other side of coin is that being in 200 countries helps, you do see some slowness in some parts of the Europe but on the other side Germany is doing pretty well and the out bound is doing well. So I would say overall I’m cautious about 2015 and uncertain on 2015 about the global economy, but being in 200 countries helps us, our customers to continue to do transaction.
Sara Gubins : Would it be possible to try to help size what percent of your transactions are coming from countries where oil production is really critical component?
Hikmet Ersek: I think, as you know the big part of our business in the Middle East Gulf state out bound business but we don’t disclose that information actually and I don’t think that -- all this oil price changes, all this current oil price environment has been projected in our 2015 outlook.
Sara Gubins : Okay, great. And then just switching gears basically wu.com logins continue to do really strong but they are decelerating, could you talk to us about your revenue expectations for digital in 2015?
Hikmet Ersek: I think we still believe that our 2015 revenue will be strong. We still believe that digital specially also on mobile we believe it’s going to grow very fast. We are now more than in 20 countries I believe almost in 24 countries with our online digital sending money to 200 countries and our goal is expanding the geographical expansion, but also we have very strong growth in the U.S. Our last quarter U.S. growth was 29%. So I think that there is still huge opportunity in Europe in outbound. We are just on the beginning of expanding our online businesses in Europe and we do have some business Australia and New Zealand but I will like have that -- we’re today in our retail business in 200 countries. Why not being also with our online business in 200 counties and that’s our expansion policy we’re going to put a lot of emphasis behind that.
Operator: And next we have a question from Jim Schneider of Goldman Sachs.
Jim Schneider: I was wondering if you could talk a little bit more about the types of cost control actions you put in place that you referred to earlier the incremental $15 million to $20 million in savings, specifically where some of those actions or where some of those areas were and then maybe if you look into 2015, can you maybe talk about any incremental opportunity we have to reduce cost as we head throughout the year that maybe not included in that guidance?
Raj Agrawal: Sure Jim, this is Raj. As I mentioned earlier, we have taken out some positions and some of the higher cost jurisdictions and put them into lower cost centers that we have around the world and they are -- some of them are executive type positions and some of them are shared services type positions, but these are really optimization actions that we have been taking on an annual basis and I would expect that we will continue to look at optimization efforts for both our fixed and variable cost structures. It’s not a onetime expenses for us it something that we look at an ongoing basis and we’ll continue to prune way out some of the costs that we have. So I do believe there are additional opportunities and we’ll keep looking for those.
Hikmet Ersek: Also one thing I’d like to mention here is that we built the transformation of this we have a special leader on looking at our processes. By optimizing our processes we do find some cost savings activated. We really do the business in different way which we did in many years ago that brings also our constant cost saving dollar actually.
Jim Schneider: That’s helpful color. Thanks. And I guess relative just picking on one geography, the APAC region for a second, I may have missed it but can you maybe go through some of the factors that drove the year-over-year decline in transactions as well as revenue in APAC?
Raj Agrawal: In APAC, the business declined by 3% or grew 1% on a constant currency basis and transactions were down 4%. What we saw on that region is that Japan continued to be post good growth for us, but we saw slowdown in Philippine. We are also seeing an increase impact from compliance in APAC region and some of it is also grow but we had higher growth in the fourth quarter of 2013 on transaction, so some of its grow over. So those are some of the pieces that we’re seeing in APAC region.
Hikmet Ersek: One of the things I would like also mention, we do expand our compliance activities globally and that has sometime impacted our revenue as we’re as industry leader we want that compliance activities are implemented globally, but in short term it has an impact on our revenue when we expand that geographically but long term I believe it’s a competitive advantage because we will -- I will the industry will follow that.
Operator: And the next comes from Jason Kupferberg of Jefferies.
Jason Kupferberg: Question on the 2015 EPS guidance, does that assume more or less ratable execution of the new share buyback plans to call 400 million or so for this year?
Raj Agrawal: I think that’s say starting point Jason, obviously, the amount of repurchase that we’ll do in any year is going to be dependent on market conditions and overall objectives, but I think that’s a safe assumption to begin with.
Jason Kupferberg: Okay that’s helpful. Any update on the same day ACH initiatives, I think some of those were supposed to start to be rolled out in Q4 or maybe tell us a little bit about charters, the solutions available for and how does the cost actually compare for consumers to this thing day versus the previous solution I think it was more in the neighborhood of four day settlements?
Raj Agrawal: Yes, we have launched same day ACH in the fourth quarter, you’re right, we were testing it on a limited basis. And we are now evaluating all customers who choose the bank funded options in our wu.com business for potentially funding instantly, it depends on whether you’re approved based on your risks parameters. So we’re doing it, we’re not advertising it or marketing it heavily because we do want to make sure that we get the management of the risk around that business done right, but we’ll be doing that more over the next--
Hikmet Ersek: But I will like to mention that we’re doing that ACH -- same day ACH with selected and they’re [proved] customers, we are just month to mid that was always a question about that.
Raj Agrawal: And the other thing I would just add is that, that’s really just U.S based concept to instant ACH. We really are focus on expanding our business globally. We have over 10 markets now that have banks funding capability. We also deliver money into bank accounts into 50 markets around the world and we're continuing to expand those channels available to consumers. And the cost of transaction like that if its bank funded it can be relatively small but you need to make sure that you manage the risk around the funding of that transaction and the delivery time is going to be dependent. You really need to have both size of the equations you need to be able to fund instantly and you need to be able to deliver instantly for an instance transaction. And that’s not necessarily available in every single market.
Jason Kupferberg: Okay understood and then just last question. I know you mentioned that specifically with the same day ACH were not doing much advertising and marketing around it. But can we just talk more broadly about advertising and marketing spend in 2015 versus 2014 any general trends or call out or growth expectations there?
Hikmet Ersek: Well we're going to continue to invest in our brand obviously. Obviously our brand -- if you look at also product prices globally we are 15% to 20% premium. So there is a trust factor on our brand and we don’t want to disappoint our customer. We want to invest the customers experience we will going to do that, we’re upgrading our point of sales system one of them is that the [indiscernible] fast point of sales which you could see also the Walgreens locations and we are expending that in a different parts of the road. So the marketing is a big part of our business and also promoting the business on without [indiscernible] problem building the loyalty and we know that existing customers do more transactions if have them loyal so we are continue to invest these kinds of programs.
Raj Agrawal: Yes Jason we've been spending about 4% of revenue the last few years on marketing the advertising. We'd expect something similar in '15.
Operator: The next question comes from Tom McCrohan of Sterne Agee.
Tom McCrohan: I thought a year ago Hikmet you talked about getting into Walgreens and I think you just mentioned and two seconds ago. So are there other retailers that you're looking to get into the next few years that you can talk about?
Hikmet Ersek: Yes I think we are constantly looking at retail expansion. We have about similar to 750,000 locations, but as the customer your skills are changing we are doing also different types of retail upgrades Walgreens is definitely one example of that. But we recent built announce our apple pay usage at the retail location with apple pay you can use some locations already two transactions with ours. As you can see that I am really diversifying the use cases with different channels options is it retail or is it online or is this mobile and on the retail part we are definitely looking at expansion I believe still Asia is a big opportunity to expand. We recently find Bank of China which is a big sign it gives us 30,000 locations in China. So the expansion of point of sales is digital is it online, is it retail will continue.
Tom McCrohan: Thank you and just one last question on the pricing actions or potential future pricing actions. In Q3 of 2012 we announce those pricing actions; the transaction growth was when the zero was flat. Until now the total transaction growth slow to 2% so I just wanted to get some comfort that transaction growth saws further to zero there is not additional cross border pricing actions. Or how should we thinking about that?
Hikmet Ersek: As I said earlier that we believe that we have a competitive pricing and we believe that for the cross border money transfer we are very well position. But as you know we are in 16,000 corridors I don’t if many other companies are like that. So what we do is that within the 16,000 corridors we'd that sort of a different brands we adapt our prices. And all these pricing actions we're going to continue to do we're going to do promotions we do foreign exchange we do adapt bands we are going to continue doing this things. But all are within our guidance for ‘15, I don’t see big pricing investment especially in cross border for ‘15.
Operator: And the next question comes from Bob Napoli of William Blair.
Bob Napoli: I guess just looking at the big picture transaction trend, your transaction trends are still -- I mean they clearly slowed in I mean it seems like you're losing broadly some market share and continue to there is a number of fast growing companies. And different markets around the world they may not be generating the best margins, but have a lower pricing. How much market share loss will you accept and do you think there is going to be consolidation. Are if this some of these players that are charging lower prices around the world do you think they have sustainability such -- or do you think that they'll be significant industry consolidation globally.
Hikmet Ersek: First of all it's not about pricing obviously that’s why we have a tight 15% to 20% premium, it’s all manufactured. As you really say that this is complex being in 200 countries having regulatory license in 200 countries having different part on the money lending multi carrying settlement paying out in 121 currency, somebody has to build that, it’s not easy to build that and I think we have extremely good cross boarder engine. So we have problem of that. I believe also that the business will be growing more on the digital environment but you have to build the engine first and we have the engine and what we’re doing is that building on the engine, expanding on the digital part of the road to finding new customer used cases. On the market share I would like to mention also I think it’s a principal amount what you’re mentioning. I believe our targeted maintaining market share I wouldn’t say that we’re losing market share and one example is Bank of Mexican which Raj mentioned in his starting comment we are building faster than the Bank of the Mexico. The pricing actions we put in place in 2012 and ‘13 definitely helped us and we are growing faster than the market. And the slowdown on the transaction was also -- remember we had actions on the ’12 - ’13, it’s kind of the grow over we are not doing pricing actions anymore so we believe that we’re going to summarize the comment I think we’re going to maintain market share and I believe that we’re going to grow very fast on digital.
Raj Agrawal: Bob, just the other thing I would add is on last year if you look at our principal growth, we grew principal at 5% and 6% on the constant currency basis and that’s very much in line with the market growth from last year, so just to reiterate that point.
Bob Napoli: Good point, thank you. And on wu.com the pricing in transaction growth is narrow, that gap is narrowed or are you done with the aggressive pricing actions on wu.com and what are your thoughts on profitability? When does wu.com become profitable or it start to generate reasonable profit margins?
Raj Agrawal: Bob, this is Raj. On wu.com we do all times of testing on pricing and we’re having a lot of good success there. So we’ll keep testing, we’ll keep doing pricing at different ban level different markets really to drive the customer adoption because our goal is to continue require more and more customers as you know 80% or more of the customers that are visiting us on wu.com are new to the franchise so we want to continue that customer acquisition machine if you will and in terms of profitability we know that we’ve been spending disproportion of amount on both technology and marketing in that business, but we also know that the contribution of an incremental transaction on the margin basis is in the same range as in our retail business. So we know the business can grow. Profitability more than where it is today and also as we expand channels, as we have more bank touch points both on the funding and sending and receiving side that’s going to allow us to drive better profitability as well.
Bob Napoli: And then last question, your B2C business had 15% constant currency growth and it’s a really good acceleration is that sustainable and what is driving that type of growth are the margins -- are you going to be able to maintain margins with that kind of growth or expanding?
Hikmet Ersek: Let me start that Raj and then maybe you can add something, but our B2C business mainly from our Argentina business our U.S. business and electronic business and electronic part has been showing a good again a very good growth and that’s basically the success story. Our cash business walk-in real payment business as expected declining but electronic is making up that one that’s the success story there.
Raj Agrawal: And the peso as a part of that equation we have the Argentina business which you have inflation there but then you also have the devaluation of the peso. So you do need to take that into account. But we did get acceleration on the reported growth as well 4%. And then on the margin that you asked about, on the margins, the margins have been impacted last year from the higher interchange cost so that’s something that we’re trying to address but putting that aside we do think that we can continue to have good margins there and our goal is to improve the margins from where they have been in the fourth quarter.
Operator: Our next question will come from Ashwin Shirvaikar of Citi.
Ashwin Shirvaikar : I guess my first question is just trying to understand the hedge benefit that you have this year which kind of counting as roughly $0.10 to $0.12 it looks like what happens when the hedge is roll-off in 2016 does that 70 million in profit go away? I guess broadly, I’m just understanding your hedging strategy.
Raj Agrawal: Hi, Ashwin. The hedges that we have in place for this year giving us that benefit. It’s too early to talk about the impact in next year because it really is heavily dependent on where the currency markets will be and as you know based on what we’ve seen in last three months that’s not really predictable in nature. So we’ll see where that actually ends up. We do have some hedges in place in 2016, but that overall impact is going to be hard to predict at this early stage.
Ashwin Shirvaikar: Okay and it’s fair enough. I have question on tax rate and the 6% tax rate this quarter you did mention some non-recurring items and then in response to a question you had said something about tax planning, so could you maybe provide some details on the non-recurring items and then the 13% I know the tax rate goes up from 12 this year, but I think everybody on the street pretty much expected it to be 15, so it is maybe $0.04 to $0.05 of benefit relative to street models, so I am trying to figure out is now -- is 13% now the new 15 is that the go forward tax rate and is that because of tax spend?
Raj Agrawal: Hi, Ashwin, I won’t get into the details of which specific items drove our tax rate down in fourth quarter. Again on a go forward basis obviously we can’t predict any new law or regulations or those things that maybe come into play, but putting that aside we think mid-teens is still the number that we would be targeting over the next few years.
Ashwin Shirvaikar: Okay, so it can step back up and there is some temporary help you’re getting this year?
Raj Agrawal: Yes.
Ashwin Shirvaikar: Okay, the transaction growth question, I think part of the reason why Hikmet you’re getting that question so much is because it seemed to decelerate 3Q to 4Q and pretty much every [GO]? And so I am kind of curious and hoping back to a previous question, again just trying to understand the rationale what does it take to -- especially as your competition evolves should you continue to carry that premium pricing that you have and that you have earned but with maybe different competition. Maybe that -- should that premium still exist down the road?
Hikmet Ersek: Well, Ashwin, you’ve been following so long, you know the business very well. You know you EPS quarter by quarter, right?
Ashwin Shirvaikar: Yes.
Hikmet Ersek: Depending really on the counters and corridors as you know none of our countries has been also at U.S. more than 6% of our revenues, so it can very much diversify our pricing actions the 15% to 20% in an average. In some corridors, we are lower than the competition and some channels we’re lower than competition, some channels we’re higher than the competition. We really adapt our pricing to the used cases. I believe that the 15% to 20% price actions and overall that’s an average. I think we have a good-good quality or you can’t take one corridor saying that we’re higher than the others, so you have to bring your prices down overall, right, that’s what we’re doing and that we have done for many years and very successfully. Even the 2012 pricing actions which we have done implemented. We said it will come back and it did come back and we bring us to the transaction growth. So I don’t anticipate on today’s point of view big pricing investment. And you know also and the digital wise, I believe you’re going with the different channels of the digital side, I believe we’re very competitive, being in 24 countries, sending money to 200 countries already open to many-many corridors to you and the customers value that you can drop money up anywhere world-wise in minutes in their currency. So there is -- I believe we have the right strategy here Ashwin.
Ashwin Shirvaikar: Yes, no problem with the service, I am a user, so definitely no problem, I am asking financial question more than anything else, well all the best guys. Thanks.
Hikmet Ersek: We’ve got time for one more question.
Operator: Okay our final question will come from Tim Willi of Wells Fargo.
Tim Willi: I apologize for sticking with sort of the prior two questions but sort of again one the stream of market share and brand, if I could ask one question it would be, if you look at the brand Western Union which I think Ashwin talked about is well known, there is a premium, should that premium exist would have you, is there any thought process that maybe the brand needs to repositioned or we reinvigorated or a different message into the marketplace given the competitive dynamic that maybe need to be driven home a bit more than you feel like it is when you look at the transaction numbers and the growth numbers relative to sort of how we think about the market growing and the share that you have given up and appeared as be maybe slipping away again?
Hikmet Ersek: I am glad you asked the question, Tim, I wish we could have more time to answer that question, it’s a brand thing. If you look at our brand we do have some different approach. We do position our products to the customer need. We are investing in product. We have the next phase product. We have account based money transfer product. We communicate that to customer differently. In some quarter, even have -- we have Vigo, we have Orlandi Valuta. We do serve the customers in a different brand, different communication, different need, so that’s going to continue to happen in Western Union, in Western Union business so which we do serve the customer in a white label. We do use the third party and use our cost portal engine and we serve the customer in a need that it’s not too important to brand. So that brand diversification will continue, today’s brand, known brand to all of us is 90% of our business and fastest growing parts are the differentiation of the brand and repositioning the brand in a way that the new customer use cases needed.
Mike Salop: Tim this is Mike, I would just add, the slowdown from Q4 or Q3 to Q4 what certainly we have a comparative situation on domestic money transfer and there is some other corridors around the world where you could point to competition. The bigger picture is we think we're seeing some slowing economies in Europe and some other Russia and some other parts of the world and we know we have some compliance and taxes particularly in Asia and Africa that we're dealing with. So those are contributing to the good part of the change from Q4 -- Q3 and Q4.
Hikmet Ersek: I think Mike should point also that as I said earlier I stay cautious of geo-political and economical environment for 2015.
Mike Salop: Thanks everyone for joining us appreciate it. And have a good afternoon.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.